Operator: Greetings and welcome to the Myers Industries’ 2013 Third Quarter Earnings call. At this time, all the participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator Instructions) As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Monica Vinay.
Monica Vinay: Good morning. Welcome to the Myers Industries’ third quarter 2013 earnings conference call. I’m Monica Vinay, the Vice President of Investor Relations and Treasurer at Myers Industries. Joining me today are John Orr, President and Chief Executive Officer; Gregg Branning, Senior Vice President, Chief Financial Officer and Corporate Secretary; Joel Grant, Senior Vice President and General Manager, Material Handling Segment; Chris Koscho, Vice President and General Manager, Lawn and Garden Segment; and Todd Smith, Vice President and General Manager, Distribution Segment. Earlier this morning, we issued a news release outlining the financial results for the third quarter of 2013. If you have not yet received a copy of the release, you can access it on our website at www.myersindustries.com. This call is also being webcast on our website and will be archived there along with a transcript of the call shortly after the event. Before I turn the call over to management for remarks, I would like to remind you that we may make some forward-looking statements during the course of this call. These comments are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Such statements are based on management’s current expectations and involve risks, uncertainties, and other factors which may cause results to differ materially from those expressed or implied in these statements. Further information concerning these risks, uncertainties and other factors is set forth in the Company’s periodic SEC filings and may be found in the Company’s 10-K filings. I am now pleased to turn the call over to John Orr, President and Chief Executive Officer. John?
John C. Orr: Thank you, Monica and good morning to everyone. It’s a pleasure to have you join us. Gregg and I will discuss the third quarter; then we’ll open it up for questions. As Monica mentioned, we have the segment Vice Presidents joining us today. They will be available to answer questions regarding each of their segments during the Q&A part of the presentation. If you can please turn to Slide 3; I’d like to begin by mentioning the private placement note purchase agreement that we entered into on October 22 and announced on October 23, 2013. The senior unsecured notes totaled $100 million, $11 million of which will be funded in December 2013 and the balance in January, 2014 and four series of maturities, which are outlined on Slide 3 of the presentation. Weighted average of the coupon interest rates on the senior unsecured notes is 5.07%. This debt placement allowed us to secure longer-term financing from seven to 12 years at historically attractive rates and provides Myers with good financial flexibility. The proceeds from the offering will be used to repay existing debt to grow the company within our five key basic business platforms, where we believe we have a competitive advantage. Those platforms are returnable packaging, storage and safety products, higher repair and retread products, specialty molding and distribution. Now let’s review some of the other highlights. If you could please turn to Slide 4 of the presentation. Net sales in the third quarter of 2013 were $194.9 million, compared to $197.3 million in the third quarter of 2012, a decline of 1.2%. Sales fell below our expectations due to a number of market factors that Gregg will discuss when he reviews the performance by business segments. But you cannot always control what the market does in terms of sales growth. We were able to control our costs as evidenced by our gross profit margin of 27.5% in the third quarter of 2013, compared to 26.7% in the third quarter of 2012. The increase was primarily driven by productivity improvements and material cost savings. Reported net income for the quarter was $6.5 million or $0.19 per diluted share, compared to net income of $5.8 million or $0.17 per diluted share in the third quarter of 2012. On an adjusted basis, which excludes restructuring costs, and other special items, our earnings per diluted share increased 25% in the third quarter of 2013 to $0.25, compared to $0.20 in the third quarter of 2012. We also continue to focus on generating free cash flow, which is strong in both the quarter and year-to-date. Despite from headwinds in sales, we continued to deliver good profit improvement through productivity gains, cost savings and mix improvement. Additionally, our restructuring project in the Lawn and Garden Segment is on track and generating savings as planned. I’ll now turn the call over to Gregg Branning, our Chief Financial Officer, who will provide you with details regarding our financial results. Gregg?
Gregg Branning: Thanks John. Good morning. I’ll comment first on the overall financial results that John has not already mentioned, which are summarized on Slide 5 of the presentation. After that I will review the results by business segments. SG&A expenses in the third quarter of 2013 were $41.6 million, compared to $43 million in the third quarter of 2012. A decrease in compensation and benefit costs, including severance costs as compared to the third quarter of 2012 more than offset incremental SG&A expenses resulting from the acquisition of Jamco Products, which took place in October of 2012. Our effective tax rate during the quarter was 40.8% and we continue to anticipate that our effective tax rate for the full year of 2013 will be 37%. Please turn to Slide 6 of the presentation. Cash flow provided by operations for the nine months ended September 30, 2013 was $46.8 million, compared to $23.3 million during the nine months ended September 30, 2012, reflecting our ongoing efforts to better manage our working capital. Capital expenditures totaled $20 million for the nine months ended September 30, 2013, compared to $15.2 million for the first nine months of 2012. We estimate the capital expenditures in 2013 would be approximately $35 million and that more than 65% will be for growth in productivity projects. We continue to maintain a strong balance sheet, which is reflected in our low net debt to total capital ratio of 22.2%. And as John mentioned, we have positioned Myers favorably for future years with a $100 million private placement that will be funded in December 2013 and January 2014 as previously discussed. Now let’s turn to our business segments and their performance as summarized on Slide 7 through 10 of the presentation. Results were compared to the same period in 2012 and I’ll be referencing the adjusted pre-tax income information by segments as it appears on the reconciliation of non-GAAP financial measures, included on Slide 13 of the slide presentation and in earnings release issued earlier today. Please turn to Slide 7. In the Material Handling Segment, net sales in the third quarter of 2013 were $76 million, compared to $76.2 million in the third quarter of 2012. Incremental sales resulting from the acquisition of Jamco, which took place in October of 2012, were more than offset by a sales decrease that was driven by lower than anticipated food processing sales resulting from a poor tomato crop season. Adjusted income before taxes in the Material Handling Segment was $10.7 million in the third quarter of 2013, compared to $12.5 million in the third quarter of 2012. The lower sales volume in a less favorable product mix led to the decrease in adjusted income before taxes during the quarter. Please turn to Slide 8 for the Lawn and Garden Segment results. Net sales in the third quarter of 2013 in the Lawn and Garden Segment were $44.9 million, compared to $45.3 million in the third quarter of 2012. A delay in customer orders for the upcoming season to the fourth quarter led to the decline in sales year-over-year. Adjusted income before taxes in Lawn and Garden Segment increased to $2.5 million in the third quarter of 2013, compared to break-even in the third quarter of 2012. Productivity gains, material cost savings and savings from phase one of the segments restructuring project led to the significant increase year-over-year. Please turn to Slide 9 for the Distribution segment results. Net sales in the Distribution segment were $45 million in the third quarter of 2013, compared to $45.1 million in the third quarter of 2012. Sales of new products and services mostly offset lower international sales volumes during the quarter. Adjusted income before taxes in the Distribution segment was $4.3 million in the third quarter of 2013, compared to $3.4 million in the third quarter of 2012. Our favorable product mix combined with lower SG&A costs led to the increase in adjusted income before taxes year-over-year. Now please turn to Slide 10 for the Engineered Products segment results. Net sale in the Engineered Products segment were $33.8 million in third quarter of 2013, compared to $35.7 million in the third quarter of 2012. The segments focused on more profitable business led to lower customs sales during the quarter, which contributed to the decline in sales year-over-year. Adjusted income before taxes in the Engineered Products segment was $3.5 million in the third quarter of 2013, compared to $3.7 million in the third quarter of 2012. Productivity improvements and material cost savings substantially offset the lower sales during the quarter. That concludes the financial review. I’ll now turn the call back over to John for some outlook remarks. Thank you. John?
John C. Orr: Thanks Gregg. Please turn to the Slide 11 of the presentation. As we look forward to the fourth quarter, we expect the following. Our Material Handling segment, we anticipate that sales to be comparable to last year, which if you recall, increased 32% over fourth quarter of 2011. In our Lawn and Garden Segment, we anticipate that sales of new products, coupled with normal seasonal orders should lead the stronger sales during the quarter. Additionally, we expect the benefits from the segments restructuring project to continue. In our Distribution segment, we anticipate that sales of new products and services and equipment sales will benefit overall sales results. Finally in our Engineered Products segment, we expect continued lower custom sales by that segment will maintain its focus, but that the segment will maintain its focus on productivity improvements and cost reductions. As we stated in this morning’s earnings release, overall we expect continued year-over-year profit improvement in the fourth quarter, resulting from the sales of new products and services, productivity gains, cost reductions and the expected benefits from our Lawn and Garden Segment restructuring initiatives. But we have experienced some modest headwinds we believe we are well situated to grow, particularly in our five key business platforms. That concludes management’s presentation. I’d like to turn it back over to Monica, so that we can take your questions. Thank you.
Monica Vinay: Thank you, John. The operator will now direct the Q&A phase of the presentation. As a reminder, please keep in mind that in addition to John and Gregg, we have the following Segment Vice Presidents and General Mangers available to answer questions; Joel Grant from Material Handling; Chris Koscho from Lawn and Garden; and Todd Smith from the Distribution segment. Go ahead please, Joan [Ph].
Operator: Thank you. We will now be conducting the question-and-answer session. (Operator Instructions) And our first question today comes from the line of Chris Manuel from Wells Fargo. Go ahead with your question please.
John C. Orr: Good morning
Christopher D. Manuel – Wells Fargo Securities: Congratulations on a solid quarter.
John C. Orr: Thank you, Thank you. First your question is if I kind of assess each quarter but it’s each of the segments.
Christopher D. Manuel – Wells Fargo Securities: So if you could kind of run through what they saw with respect to organic volumes may be through the quarter what’s your anticipation is you know as you finish this year and maybe into 2014 and then maybe where you are with respect to new products and activity there as well?
Todd Smith: Okay. Chris, this is Todd Smith, I’ll start with the Distribution business. Well I guess for start of that as most we probably seen Replacement Tire Shipments have been improving over the last few months and certainly we’re optimistic about the impacts of that going forward. We are somewhat cautious about that because Miles Driven have remained flat. However, we do expect our improvements with equipment sales over the next quarter. And we are confident that we’re strengthening our market share and continue to focus on market share growth.
Christopher D. Manuel – Wells Fargo Securities: Okay.
Joel Grant: So flat for Q4, looking forward then we’re seeing from the outside analysts recommendations on a little bit good news, a little bit uptick as we go into 2014 and they’re looking at things like industrial production, capacity rates et cetera. But they do are little encouraged about early 2014.
Chris Koscho: Chris, this is Chris Koscho. As for organic growth in the third quarter, for us it was kind of a low single-digit decrease. I would say mainly due to a shift of volume. We’ve launched our direct business, big-box direct business experience about a month to a six week delay. The programs for really the three big guys has been delayed as they kind of finalize the program, finalize the grower line up and we’ve watched that delay take about a four week to six week period. We are now seeing those orders as we go into the fourth quarter. And as we look forward, we expect the growth in the fourth quarter as John mentioned, really focused on kind of the true organic growth as well as growth through new products. We have some exciting and significant launches that will take place in the fourth quarter and will carry us through the fourth and the first quarter as we really serve the season. As for our new products that you mentioned, new products for us in the quarter were 3.9% of sales. For the year they are 4.5% and that’s mainly due to the rate we serve the market. Distribution has heavily served for us through the third quarter. Our innovation and new products really start to hit the market as we serve that big-box that kind of direct channel that we’ll see growth in the fourth quarter and first quarter, which kind of supports your organic question as well.
John C. Orr: But Chris just kind of sum up, the third quarter sales, we did have a slight decline and most major impact was the curly top virus, the tomato virus that really impacted the tomato crop season and for anybody on the call that really wants to understand, there is a lot of information out there, if you just Google our curly top virus, you’ll learn more than you ever wanted to know about it. The other issue is really was the seasonal order it was delayed in Lawn and Garden, which should pick up in the next two months. And we continue in our Engineered Products business to bottom slice business where it’s just not profitable business. We’ve had this business around for some time. We’ve really decided to take a strong approach to deciding whether or not the business is good and replace that with new products and I think we’re doing a great job there. So that kind of summarizes where we’re at.
Christopher D. Manuel – Wells Fargo Securities: Okay. That’s helpful, great. Could you maybe run us through I thought there was a depreciation recapture that went through L&G, just give us an update what’s happening there? What’s going to be the annual impact? What those items look like on a normalized basis going forward?
Gregg Branning: Great, great. Yes, this is Gregg Branning. There was a depreciation recapture under accounting rules what you’re required to do. We previously had taken our Sparks facility out of depreciable assets and shown it as an asset held for sale, when we announced the restructuring projects that facility went back in as a depreciable asset and we depreciated roughly a $1.3 million of additional depreciation in the quarter, which was the catch up for that. Going forward, the depreciation expense will be minimal. Again it was capturing more a period of time while it was out of service. So you shouldn’t see any real impact going forward to speak up. The key there is that our restructuring project is on track and moving forward as planned.
Christopher D. Manuel – Wells Fargo Securities: Okay. That’s helpful. And then last question for you John is thoughts regarding Chief Operating Officer search, is that still progressing or you’re looking internally, looking externally or is that something that maybe [indiscernible] or if maybe an uptake there as possible?
John C. Orr: Yeah, sure; Chris, this is John. Yeah, really no decision has been made on that each Board meeting we had some discussions around succession planning not only for that position, but for all of our key positions and at this point I can just tell you there has been no decision made.
Christopher D. Manuel – Wells Fargo Securities: Okay. Thank you.
Operator: (Operator Instructions) Our next question comes from the line of Christopher Butler from Sidoti & Company. Go ahead with your question please.
Christopher Butler – Sidoti & Company: Hi, good morning everyone.
John C. Orr: Good morning.
Gregg Branning: Good morning Chris.
Christopher Butler – Sidoti & Company: On the Lawn and Garden, can you quantify the savings that you captured in the third quarter from your cost curve?
Chris Koscho: Yeah, this is Chris Koscho. As we previously announced we’ve kind of broken our project up into phase one and phase two. Phase one is the project we announced in the first quarter. We did realize a $1 million of savings in Q3 as we had kind of previously discussed savings in the second half of the year. We do project that second half to total $2 million. So we do anticipate another $1 million in the fourth quarter as part of phase one project. As for phase two, we expect those savings and we’re on track for the $8 million we reported and we expect to see those savings in 2014.
Christopher Butler – Sidoti & Company: And as part of the shift of sales to the fourth quarter could you quantify that and being more big-box oriented or is this lower mix, lower product mix sales volume?
John C. Orr: No, I would suggest it’s really our normal mix of product. It’s going to manifest itself in two ways, the direct big-box as well as the new products interest for margins and I would expect it to follow our traditional historical patterns, really focused on the new products that we have launched as we went into the season.
Christopher Butler – Sidoti & Company: Okay. Could you give us a sense on how much you think that’s going to be? How much it moves the needle?
John C. Orr: No, I just expect it to be growth year-over-year is kind of what we’re expecting at this point.
Christopher Butler – Sidoti & Company: And looking at the debt issuance that you announced; could you talk to the decision to issue the debt before announcing? Any acquisition or acquisitions, is this just trying to capture low interest rates ahead of possible increases and are you looking at one particular target or there are a number of smaller targets? Could you give us some insight there?
Gregg Branning: Sure. Chris, this is Gregg. Yeah, when we issued the private placement, it’s the primary purpose was to secure long-term financing at historically low rates in anticipation that rates won’t stay that low going forward. Obviously, we have a credit facility as well. There is a floating rate. This gives us long-term rates that with the weighted average of just over 5% and the life is just over nine years. So it helps us to secure those rates for a long-term. With respect to acquisitions, we don’t comment on any potential acquisitions. We continue to pursue acquisitions and we maintain a robust pipeline that works its way across our five growth platforms that we’ve talked about in the past.
Christopher Butler – Sidoti & Company: And just finally on the distribution side that, margins in this business this quarter were pretty close to it, high as that seen in recent years, occasionally we get spikes up into these areas. This is just good mix this quarter and then you’ll find your way back into more typical 8% to 9% range going forward?
Gregg Branning: Yeah, a lot of the quarter was around the favorable product mix and as we talked about the equipment, we will see some levering out of that going into the next quarter. But as we look on pricing initiatives, we expect to be able to maintain that going forward.
John C. Orr: This is John Orr. I think also Todd has mentioned a range of new products that they’ve been introducing and going forward and obviously new products within to raise those margins as well. So our expectation is to keep that new product pipeline going.
Christopher Butler – Sidoti & Company: I appreciate your time.
John C. Orr: Thank you.
Gregg Branning: Thanks, Chris.
Operator: There are no further questions in the queue. I would now like to turn the floor back to management for closing comments.
Monica Vinay: We thank all of you for your time and your participation. As a reminder, a transcript of this call will be available on our website within approximately 24 hours. A replay will be immediately available via webcast or call. Details can be found under the Myers Industries’ Investor Relations tab of the website. Thank you for joining us and have a great day.
Operator: This concludes today’s teleconference. You may disconnect your lines at this time. We thank you for your participation.